Operator: Ladies and gentlemen, good day and welcome to Tata Motors Limited Q2 FY16 Quarterly Results Conference Call, hosted by Citigroup Global Markets India Private Limited. As a reminder, all participant lines will be in the listen-only mode and there will be an opportunity for you to ask questions after the presentation concludes. [Operator Instructions] I now hand the conference over to Mr. Jamshed Dadabhoy from Citigroup Global Markets India Private Limited. Thank you. And over to you, sir.
Jamshed Dadabhoy: Hi, everyone. Thanks for taking the time out for this call today. So today we have with us the India management team for Tata Motors and Jaguar Land Rover. We’ve got Mr. C. Ramakrishnan; who is the Group CFO for Tata Motors; we’ve got Mr. Ken Gregor, CFO for Jaguar Land Rover; we have Mr. Ben. Birgbauer, Treasurer, JLR; then we’ve got Mr. Vijay Somaiya, who is Head of Treasurer and IR at Tata Motors; and we’ve got the other members of the IR team with us. Mr. Ramakrishnan, thanks for taking the time out for this call. I’ll hand the call over to you for your opening remarks and presentation. Over to you, sir.
C. Ramakrishnan: Thank you very much, Jamshed. Thanks for hosting this call. And thanks everyone for joining us today for our Q2 and H1 results announcement. I’ll quickly run through short presentation, then we’ll open it for Q&A. Tata Motors Group consolidated results net revenue stood at 61,000 crores for the quarter, up from 60,000 crores last year, the same quarter. EBITDA margin was lower at 12.6% for the quarter, down from 17% high that we had reached in Q2 of last year. Profit before tax, before exception items was 1,500 crores, down from 5,600 crores, reflecting predominantly the lower EBITDA. After profit before tax, we also had an exceptional item in this quarter which is the provision for the inventories and stock that we carried in Tianjin, where the explosion took place; we will deal with it a little later. That provision has been made fully in this quarter. After this exceptional item, PAT for the quarter was 430 crores negative compared to a positive profit of 3,291 crores in the same quarter in the previous year. As far as the India business is concerned, I am not running through the half yearly numbers follower again, the presentation is available on the website anyway. Tata Motors Group India business -- as far as Tata Motors Limited India is concerned, the net revenue came in at 10,000 crores -- 10,500 crores, up from 8,700 crores in the same quarter last year. EBITDA percentage was 6.8% EBITDA margin positive compared to 1.6% negative EBITDA in the same quarter last year, resulting in total swing of over 8% in EBITDA margins quarter-to-quarter. Profit before tax was a negative of 157 crores. For the half year, the profit after tax was negative 30 crores for the Tata Motors India business. As far as Jaguar Land Rover is concerned, the net revenue for the quarter was £4.8 billion, flat compared to £4.8 billion of same quarter last year. EBITDA was £589 compared to £933 million in the same period last year. Last year, the same quarter, the EBITDA margin was 19.4% which was an exceptional high quarter compared to that it is down at 12.2% in this quarter. I already talked about the exceptional item, profit after tax for the quarter in JLR was £92 million negative compared to £450 million pounds in the same quarter last year. The half yearly profit in JLR stood at £400 million, profit after tax for the half year after this exception write down £400 million profit. As I briefly said earlier, the India business performance saw an improvement in the EBITDA margin about 840 basis points last year quarter to this year quarter two. This broadly reflects the very strong growth we have continued to seen the medium and heavy commercial vehicle segment of our business which saw quarter-to-quarter, an increase of 35.3% in volumes, and the result of various ongoing cost reduction another margin improvement initiatives internally in the organization, which resulted combined in an improvement of swing of about 840 basis points from last year quarter to this year quarter. As far as Jaguar Land Rover is concerned, I already talked about the EBITDA being lower at £12.2 million -- 12.2 percentage points, down from 19. This quarter was affected by less favorably sales mix even though partially it was offset by higher wholesale volume, higher manufacturing and launch costs of new products in this period, which was a crowded calendar and unfavorable foreign exchange devaluation, primary of the euro of about £80 million. More details on the India business, the medium and heavy commercial vehicle industry, as I said earlier, continues to witness strong demand conditions, and partly replacement of vehicles and fleet and driving the demand and the moderate effect of pre-buying ahead of the regulation changes in October. As far as the company is concerned, medium and heavy saw a growth of 36.9% in trucks and about 22.5% in buses. And overall the market share in medium and heavy commercial vehicles stood at about 42%. We continue to see very lackluster demand in the segment relating to small commercial vehicles, partly affected by weak load conditions in the last mile transportation and non-supporting financing environment for the sector. However, in the segment, our market share continues to be well over 75%. As far as the industry and the market is concerned, variable marketing expenses continue to remain high. And from the company we’ve launched the Ace Mega and the Ultra 1010 truck in this quarter. And we also achieved 3 lakh sales mark of the Tata Magic. In commercial vehicles in the international business, we saw a growth of 2.2%, which was somewhat flattened by -- the moment was affected in September by the adverse political situation in some of our markets, like Nepal. In the international business, we launched Ultra range of trucks in Bangladesh, Ace Express in Sri Lanka and we received an order for about 450 Pickups from Myanmar Armed Forces. In the India business in passenger vehicles, as far as the industry is concerned, the industry saw a growth of about 6.9%, year-on-year. For the company, the growth was about 5.2%. And within that in the passenger car segment, the company saw a growth of about 14.8% year-on-year. Overall in the passenger vehicles, our market share stood at 5.1% though in the passenger car segment, we increased the market share by about 20 basis points to about 5.8%. Our international business in car saw a growth of about 29% but on a very small base last year. The company very pleased to inform you that -- you must have seen the announcement, the company has been ranked third in the syndication of consumer satisfaction index in our passenger vehicle business, reflecting the fastest movement to the third position by any company in the industry and the elevation from seventh position in 2011 to third position in 2015. We are the top three as far as customer satisfaction is concerned in passenger vehicle business. A little more color on Jaguar Land Rover, wholesale and retail volumes for Q2 were about 111,000 units and 110,000 units respectively. Strong wholesales up 51% year-on-year and retails 3% in September 2015 within the quarter. I’ve already talked about the revenue and EBITDA margin. The CapEx and product development spend for the quarter was about £775 million. After this spending and higher working capital, free cash flow was negative for the quarter at £225 million. The cash and financial deposits on the balance sheet as on 30th September stood at about £3 billion. In addition, we have, as I have shared with you before, unutilized committed five-year -- committed bank lines at about £2 billion -- close to £2 billion. PBT also was lower for the exceptional item at £88 million, reflecting the lower EBITDA that I talked about you earlier as well as high depreciation and amortization by about £121 million and finance expenses at about £31 million and unfavorable revaluation of foreign currency below EBITDA of about £29 million. Coming to the exceptional item, an exceptional charge of about £245 million have been recognized for the 5,800 vehicles involved in the August Tianjin port explosion. This amount has been fully provided for, insurance and other potential recoveries out of this may take some months to finalize and so will be recognized only in the future periods. So without any credit or receivables setting up for this recovery, we have fully provided the £245 million in this quarter. There have been lots of questions also about the -- some of the recent news reports about emission standards and fulfillment. We’ve already conveyed our position. Jaguar Land Rover does not use any emissions defeat device of software. We believe diesel technology is a key enabler to fulfill CO2 and other emission targets worldwide. All our EU6 vehicles, including the Ingenium engines, use emissions after-treatment based on SCR technology to support meeting emissions targets worldwide. We welcome and support a move to Worldwide Harmonized Light Vehicles Test Procedure, including the planned introduction of Real Driving Emissions in 2017. As this presentation goes on the website, you’ll also see some pictures of some of our cars which are launched recently and yet to come including Discovery Sport in February 15; XE launch in May; Evoque Model Year 16 launched in August; launched in September the all new lightweight XF; Q3 of FY16, XJ; and F-PACE launching in 2016. The new Jaguar F-PACE has been unveiled at the Frankfurt Motorshow and will be on sale in 2016, as I mentioned earlier. I early briefly mentioned about September being a strong month in JLR that we saw wholesale volume significantly going up. The trend has continued in October. Total retail sales were at 41,000 units in Jaguar Land Rover for October, up 24% year-on-year with Jaguar selling about 7,500 units that is up 39% and Land Rover retailing 34,000 units, again up by about 21% compared to last year October. This has been driven by the positive market response to the new launches XE and the Land Rover Discovery Sport, and solid increase in sales of Range Rover Sport, Land Rover Discovery and Range Rover. In terms of regional sales in October, USA and UK had their best ever October in sales and Europe significantly up compared to last year. And notably, China sales was also up in October, reflecting strong demand for these products. Looking ahead, in commercial vehicles, we continue to see momentum in October as well as November in terms of order book on the medium and heavy commercial vehicles. The buildup that we have seen in the last few months or since the beginning of the year seems to continue. However, we expect the SCV segment may start showing signs of recovery and growth early towards the end of this fiscal year. JNNURM Phase 2 orders will support the bus volume growth. Looking beyond, we continue to believe our wide and compelling product range with several new launches planned in the next year across the Prima and Ultra range, refreshes and variants in the small commercial vehicle and pickups will provide strong foundation for further growth in the coming period. In CV, the export will continue to be a high focus for us, and we’ve a good pipeline of Defense orders, both received, which I covered in the last quarter, and as well as expected. Passenger vehicle business in India, new products and mid cycle enhancements will drive growth in this fiscal full year of Tata’s ZEST and Tata BOLT and the new Nano. As we’ve shared with you before, we have our product plan to 2020 defined and we’re pursuing that with vigor. The two new vehicle launches planed every year including this year. The new model launches this year and the new generation cars which will come from next year will drive further growth in our passenger vehicle business and support market share growth. Jaguar Land Rover, building on the successful launches that I talked about you earlier, Discovery Sport, XE et cetera that will be a focus area for this year; launching the 16 Model Year Jaguar, Evoque Convertible and the Jaguar F-PACE are actions in the coming months. These new products are expected to deliver a solid second half performance as we saw in the first month that is October which I outlined earlier and drive profitable volume growth in 2015-2016 for the year as a whole. Although, as we cautioned you earlier, EBITDA margins for fiscal 2015-2016 are expected to be lower than the really high levels we achieved in 2014-2015, reflecting model mix and launch cost associated with the new products and the reporting effect of the China JV and mixed economic conditions, notably in China. We continue to pursue our growth strategy, investing more in the new products, powertrains and technologies and manufacturing capacity in the UK and elsewhere. Our goal, we continue to generate strong operating cash flow to support our continued investment which is expected to be £3.5 billion or little more in this fiscal year. With this I’ll stop. And let’s open it for questions. Back to you, Jamshed.
Operator: Thank you very much. We will now begin the question-and-answer session. [Operator Instructions] Our first question is from the Kapil Singh from Nomura. Please go ahead.
Kapil Singh: Sir, just, I wanted to check firstly on the domestic business. There has been some market share loss that we have seen in MHCVs. So, could you just give some color on why that has happened and what are the actions we are taking to recover that?
C. Ramakrishnan: Yes, there has been a drop in the market share in the mid SCV. It is the market where in a quarter one large order or one -- I think we have talked about it before also, the discounts in the variable marketing expenses continue to remain very high and there few where we’ve walked away from some of the deals. There is a movement that you’ll see from quarter-to-quarter but with the launch of the newer vehicles and vehicles meeting the newer elimination norms, I think our product lineup is much stronger. And we expect we’ll be able to recover it in the coming months, which has started happening in October but we’ll continue to keep up the momentum.
Kapil Singh: Where are we in the discounting cycle, if you compare it to periods of 2010, 2011; as a percentage of ASP, where would we be right now and where were we at that time?
C. Ramakrishnan: Not specifically to company, in general I would say the discount levels would have almost doubled from where have been about three four years ago in the industry in general. We’ve seen deals which we may not have participated in but have seen on a 1.5 million rupees 1.6 million rupees deal discount levels being deal discount levels being at 300,000 rupees or even 400,000 rupees. That maybe a little bit exceptional, but generally I would say, over a three, four-year period discount levels or variable marketing expenses in total can come in different forms whether discount or interest mentioned or different -- or free AMC and so on and so forth. If you take the total package of variable marketing expenses, broadly I would say, in three, four-year period would have doubled for the investor.
Kapil Singh: And has not really come down in the last one year or so despite the strong growth for the industry?
C. Ramakrishnan: No, that movement we have not seen. I would say it was very marginal.
Kapil Singh: And for JLR, do you feel we have seen the worst of the mix as far as the product mix is concerned and the geographic mix is concerned this quarter?
C. Ramakrishnan: It’s difficult to be so predictive that’s why we gave the -- within the quarter also, I think compared to July and August, I think September was solid performance which I briefly touched upon in my presentation. October, the momentum seems to continue quite strong in almost all our markets. U.S. and UK have grown really substantially, Western Europe as well. We do have some challenges in Russia and Brazil. October, we also saw a growth compared to last year in China. I think the product lineup as we have just in the past, I think the product lineup continues to be strong so far what we have done and what is to follow. So, we do believe we’ll be in a position to deliver a solid second half performance.
Kapil Singh: And in terms of commodity cost for JLR, have you already seen that benefit in these numbers or that is that should come in the next half?
C. Ramakrishnan: I think it will play it out for a period of time. The commodity costs in general for everyone, whether India business or otherwise, I think have been somewhat benign. And the commodity costs have benefits also, since we also have a hedging program in place, it will start playing out over time.
Operator: Thank you. [Operator Instructions] Our next question is from the line of Binay Singh from Morgan Stanley. Please go ahead.
Binay Singh: My first question -- actually both the questions are on Jaguar Land Rover margin only. So, if you look at it, I know in the past we’ve talked about JLR margin being in the range of the last five-year margin to being in the range of 14% to 16%. But in this quarter, adjusting for the euro loss, we are at around 13.8% or so. So, when you say that in the second half you will have a solid volume performance, are you also sort of hinting for a solid margin performance, like -- or in a way, are you sticking to the 14%-16% margin range that we earlier used to talk about?
C. Ramakrishnan: I was hoping I was being careful in not hinting at anything as far as the margins are concerned. Yes, the margins have been subdued in this quarter due to a variety of factors that I talked about, the manufacturing start-up and ramp up cost as well as the launch cost and certain -- the sales mix also being somewhat unfavorable, particularly from a digital mix point of view. I’ve already given you the color of the performance towards the end of the quarter in September as well as in October that we have seen. So, I would expect overall, including on the margins and on the volume, I think the second half should be much better. Beyond this, I don’t want to commit a percentage and a range which normally we don’t do.
Binay Singh: And secondly, if I look at quarter one your margin was around 15.4% adjusting for the other income. In the quarter two, your margin adjusting for euro loss, 13.8%; and the three reasons that you’ve given in your presentation for the margin deterioration, one of them is higher manufacturing and launch cost. This cost would have also been there in Q1. Is that a fair judgment that the cost would have been there in Q1 and Q2, so that is -- is that a substantial reason for a margin going down to quantify that amount?
C. Ramakrishnan: To some extent, yes. But I think in Q2, the effect has been more on account of the sales mix and the region mix. But the other factor that you mentioned also had impact, though to a much lesser range.
Binay Singh: Could you quantify that between Q1 15.4% to going to 13.8%, like out of these three factors -- actually two factors only manufacturing cost and mix, like if you could quantify that how -- then it seems it’s basically the regional mix only which has deteriorated?
C. Ramakrishnan: I don’t have the breakup immediately with me, but we can put it on the website later on.
Ken Gregor: It’s Ken Gregor. Just one additional point that I would make is in quarter one, we did have the benefit of -- we talked about it in quarter one, we had the benefit of one-off market incentive related to -- in China and that was there in quarter one. It doesn’t recur in quarter two because we took it on a cash basis and we get the full benefit of that to -- sorry, the full year’s benefit of it happens all among quarter and this that happened in quarter one. It doesn’t recur in quarter two. That was actually worth £60 million in quarter one which is a well over a point of EBITDA margin…
Binay Singh: Yes. The numbers I’m looking at is actually adjusted for that, so the margin adjusted for that was around was 15.2 and from there it has gone to 13.8 on a very similar volume. And if manufacturing and launch costs are the same between the quarters that it means that the bulk of the deterioration has happened because of mix.
Ken Gregor: The appetite probably fallback from [indiscernible] and so I think it’s probably too detailed I think to get into this point on the call.
C. Ramakrishnan: But we’ll try and see how best we can split it up and put it on the website later.
Binay Singh: And just one last question if I could squeeze, we do notice that you’ve grown in retail sales in China on a Y-o-Y basis. Could you also talk about the detailed sales growth for models like Rang Rover, Range Rover Sport; have you seen a rebound in those models also in China?
C. Ramakrishnan: In October?
Binay Singh: Yes.
C. Ramakrishnan: Ken, would you be able to throw some color at this point of time? I don’t have the numbers readily on hand with me.
Ken Gregor: Yes. I would just like to give a little bit color if I could find -- just give me one second. Here we go. So, if I went to October, year-on-year, I don’t know if I’ve got those numbers at my fingertips. I’m just going to ruffle my pages and find them, Range Rover, Range Rover Sports and Discovery year-on-year and October.
Operator: Next question is from the line of Yogesh Aggarwal from HSBC. Please go ahead.
Yogesh Aggarwal: Just two questions, firstly, going back on margins. Just to confirm, the £80 million impact from euro payables sequentially, that’s the entire impact, right? So last quarter, there was nothing. So, it’s a sequential £80 million impact as well?
Ken Gregor: No, it’s not -- sorry. There was a little bit of confusion, just to be completely clear on that. There was a gain in the same quarter year-ago of about 40 and in this quarter this year, there is a loss of about 40, so the year-on-year effect is 80, but it’s slightly confusing because it’s a non-recurrence of a gain plus the occurrence of a loss on the euro payables.
C. Ramakrishnan: A total swing of £80 million.
Yogesh Aggarwal: So, then we should not look at margins at 13.8, it’s probably close to 13 because the absolute impact in this quarter is only 40, right?
Ken Gregor: I think that would be a better way to express it, yes.
C. Ramakrishnan: Yes.
Yogesh Aggarwal: And then secondly, in other expenses, are there any one time delay commissions or incentives which has resulted in higher other expenses?
C. Ramakrishnan: In Jaguar Land Rover?
Yogesh Aggarwal: Yes.
Ken Gregor: We did experience modestly higher level of variable marketing in quarter two compared to quarter one, in particular in China. That’s probably worth about 0.5 point of EBITDA for example.
C. Ramakrishnan: But that’s the trend I think we’ve been talking about for the last quarter few quarters. Since last year, I’ve been guiding that variable marketing expenses are likely to see some pressure going forward. We went through a period of two years, three years where in general in this segment, the variable marketing expenses have been sadly low.
Yogesh Aggarwal: But is it the bottom, considering China is now stabilized, so you think it can improve or is it where it could be going forward?
C. Ramakrishnan: It will be very difficult to predict. The general answer would be I think whatever scale and operating efficiencies, and platform, and product strengths that we bring into the business and achieve much better operating performance, I think some of it will have to be reinvested in the variable marketing expenses, directionally.
Yogesh Aggarwal: And then just quickly, lastly, any comments on discount trends on Range Rovers, particularly in China or in U.S.?
C. Ramakrishnan: I don’t know the model wise. Market wise, we will be able to discuss discounts and pricing in this call, maybe you should keep for a different time.
Ken Gregor: I think I already said it, in terms of China, we have seen a somewhat modestly higher level of variable marketing spending this quarter compared to the last. And if we looked year-over-year, the same trend is there. C.R. said that is a trend we’ve been expecting to see overtime as the China market normalizes and we are seeing. And broadly that higher variable marketing expense generally is what we see in the marketplaces as the discounting. Outside of China, it’s been broadly stable, ebbs and flows with new model introductions and model run outs. But I think that’s about the summary of it. So, I think I had already answered it.
Operator: Thank you. Our next question is from the line of Robin Zhu from Bernstein. Please go ahead.
Robin Zhu: In terms of the -- my first question is again on some variable marketing in China. Ken, you said it was a 0.5% impact on EBITDA margin. I mean do you have -- that’s quarter-on-quarter. I mean do you have a number that’s year-on-year how much impact that was versus last year? I am assuming it’s pretty material.
Ken Gregor: I don’t actually have that at my finger tips for the model for the year-on-year breakdown by market. So that’s something I’d have to follow up on.
Robin Zhu: But just in terms of the overall company on a global basis, how much do you think this increase in variable marketing has impacted margins on the JLR as all sort of level?
Ken Gregor: It’s certainly up, but I am trying to avoid giving a number just off the top of my head rather than finding out the facts and following up afterwards, otherwise I may mislead you.
Robin Zhu: And second question again on this euro payable. I mean it was a negative £40 million this quarter, positive last year. How should we think about this? I am assuming it relates to your parts pressures [ph] from supplies in Europe. But just looking at the exchange rates, the pound actually, the pound-euro rate went up in Q2 versus Q1 it seems. How do we think about this going forward in terms of what kind of impact it will have in future periods?
Ken Gregor: It’s good question. This one is a bit easier to explain in a way. Yes, it relates to our material cost purchases which are denominated in euros. And roughly half of all of our material purchases that we buy are denominated in euros and we pay our suppliers on between 45 and 60-day terms. So, as a result there is a payable balance which in euros is in the region of €1.5 billion at any one point in time that ebbs and flows obviously as the production levels ebb and flow. And in this next quarter, the euro rate went from 1.41 at the end of June to 1.35 at the end of September which is about 4% on the euro and 4% of round about £1 billion if I now jump back into pounds is roundabout £40 million movement that we saw as the negative effect to the revaluation in the quarter. And in the same a year ago, we broadly had almost exactly the opposite effect as the euro was beginning to weaken; it went from -- I can’t remember the precise numbers, 1.28 to something 1.30, something and that produced £40 million positive effect. It’s fair to say -- and this does happen upstairs in EBITDA so it does -- and it’s not [indiscernible] maybe as the foreign-currency debt rebound, we call it out because it’s material and just to help out I guess in terms of the understanding, but I think you can look to it, the ebb and flow month-by-month unfortunately because of the nature, the size of the balance and the movements in the euro rate. In October for example, it would have gone back the other way by practically the same amount because the rates gone back up to 1.40 by the end of October.
Operator: Next question is from the line of Jinesh Gandhi of Motilal Oswal. Please go ahead.
Jinesh Gandhi: My question pertains to the fixed impact in 1Q, how it would be vis-à-vis 40 loss in the quarter?
Ken Gregor: Sorry, could you ask the question again, please?
Jinesh Gandhi: As compared to 40 million ForEx loss above EBITDA in this quarter, how it would be in 1Q the ForEx above EBITDA?
Ken Gregor: In Q1?
Ben Birgbauer: In Q1 that 47 was an 11 million gain.
Ken Gregor: We had a modest gain in Q1.
Ben Birgbauer: We think about it as the timing thing. The reality is that that 47 would have pretty much unwound at today’s exchange rates.
Jinesh Gandhi: So, 11 million gain as against 40 million loss in this quarter. And secondly, one of the reasons you’ve given higher and manufacturing and the launch cost. So, launch cost you’re referring to XE and the new XF. The higher manufacturing cost pertains to the same models or that something else?
Ken Gregor: We’ve got also as well as XE that we’re launching progressively across markets around the world. We’ve also got as you said an all new XF, the launching of 16 Model Year XJ and we’ve also got new engine launches in various products to 16 Model Year Evoque but we’re launching the engine -- some of the engine work for example is the installation of our AJ200 diesel engine in various of our models progressively. So to be honest, there is actually a whole range of our models that are having either we’ve launched on new models or we’ve performed model year upgrades. And so the -- and so the manufacturing cost and the launch cost is higher this quarter as a result.
Jinesh Gandhi: And this will normalize over next few quarters as volumes ramp up and production stabilizes?
Ken Gregor: Yes, but also look out for the fact that we’ve got an ambitious pipeline of other new models. We’re launching X -- we’re lunching the XE. It continues to roll out market-by-market including into the U.S. in the beginning of next year, we’ve got the Jaguar F-PACE that e announced at the Frankfurt auto show recently; we’ve got a derivative of the Evoque that we’re launching. So, the pipeline of -- and all of those things are just described during the second six months of the year. So the pipeline of new model launch continues through this year. Clearly over time, as we get all these new models out, we build volume and the cost per unit, if you like, starts to normalize. That’s clearly what we intent to driving. But I think until then, you can expect to see continuation of the ebb and flow of launch costs quarter-by-quarter.
Jinesh Gandhi: And my last question pertains to China. Can you update us on how the locally produced Evoque is doing and when we’ll be starting production of locally made XF? And in that context, how you will be pricing XE which would be imported model vis-à-vis XF?
Ken Gregor: I mean on the locally produced Evoque, we’re building momentum I think. But it’s that is what I would say in terms of the sales levels that we’re achieving when you compare it against level that we were achieving of the import car a year ago. And I think that does reflect some of the issues in the Chinese market more generally. So for example, in October, we sold just under 2,000 locally produced Evoques. But broadly that’s a level we may expect to see going forward. We launch the Discover Sports in this month in China and we’ve worked hard to prepare the ground. It’s competitively priced up against its facing competition including for example the Audi Q5. It’s great package for China in terms of the space within the car, the rear and also the potential 2 plus 2, sorry 5 plus 2 seating. So two seats, seven seats and so forth. It’s clearly we’re at early phases of that. Up until this point, we’ve been selling the cars, imported models at higher price. And we’ve achieved the targets we set for ourselves. But at locally produce car, lower price, clearly we want to build the volume but it’s too early to comment on what our expectations might be in that respect.
Jinesh Gandhi: But in terms of pricing discount, how it is vis-à-vis for imported model for Discovery Sport?
Ken Gregor: It’s roundabout 20% less than the imported product brand numbers. It varies derivative by derivative. And that’s a very typical discount relative to the import product that consumers expect to see to be honest, based on the fact that that’s what are the manufacturers in the past have done. And of course that’s supported by the lower material cost and manufacturing cost that is achievable in China vis-à-vis and the lower import duty that’s achievable by making this in country vis-à-vis importing the car.
Jinesh Gandhi: And can you comment on XE versus XF pricing in China, considering XE would be imported and XF would be locally made?
Ken Gregor: Now you’re getting to a level of detail that I am probably -- I haven’t got on my finger tips. I mean the -- your question was XE relative to XF?
Jinesh Gandhi: Right.
C. Ramakrishnan: Ken, can I interfere for a moment, Ramakrishnan here. I think on this call, we should have as many opportunities for everyone to ask the questions. We’re already running little bit tight on time. I think we just have five minutes left. I have some of these detailed questions, maybe we could reserve it as we’ll continue to have one-on-ones, individual discussions. Maybe some of these we can -- pick it up in due course. And of course we will -- when we do that, we will of course make to others as well.
Operator: Thank you. We’ll take our last question from the line of Hitesh Goel from Kotak. Please go ahead.
Hitesh Goel: Thanks for taking my question. Basically in this quarter, can you give us a figure of the hedge book loss above EBITDA, because there is some loss which is pertaining to this quarter. Can you give that out also?
C. Ramakrishnan: Ken, or Ben?
Ken Gregor: Sorry could you, the hedge book loss?
C. Ramakrishnan: Above EBITDA.
Hitesh Goel: So basically, you have hedge book, right, outstanding hedge book, so there is a loss or gain on that. Right? But pertaining to this quarter, what is the loss or gain?
Ben Birgbauer: So realized currency hedges, was about £10 million loss in the quarter.
Hitesh Goel: It was around 60 million last quarter, am I right there?
Ben Birgbauer: Would have been a bit higher than that last quarter.
Operator: Thank you. Ladies and gentlemen, that was our last question. I would now like to hand the floor over to the management for closing comments.
C. Ramakrishnan: Thank very much for joining everybody here and also to Ken and Ben for joining the call. I am sure many of you would have more questions and we’ll continue to engage from the IR team play with all of you. And what we discuss and exchange and whatever viewpoints, we’ll share it uniformly with everybody through communication. Thank you very much once again.
Operator: Thank you very much members of the management and Mr. Dadabhoy. On behalf of Citigroup Global Markets India Private Limited that concludes this conference call. Thank you for joining us. And you may now disconnect your lines.